Operator: Welcome to the Capgemini's 2016 Half Year Results Conference Call. I now hand over to Mr. Paul Hermelin, CEO. Sir, please go ahead.
Paul Hermelin: Thank you. Good morning, everyone, and thank you for attending the presentation for first half results. As usual I will give you some highlights about our results then we will have Srikanth Iyengar, Group Head of sales going into more inputs about the business. And finally, Aiman, our Chief Financial Officer will guide you through the details of our H1 performance. Overall, we have - we enjoy a very good performance this first half. Our revenue reached €6.257 million which represent a growth of 14.4 year-on-year at constant currency. As with all the figures presented here, this is including the IGATE acquisition impact. We are particularly pleased by our progress in Digital and Cloud where revenue are growing by 32%. Digital and Cloud today represent 28% for revenue. We continue to drive a quick momentum in sales, booking improve by 21% year-on-year in H1 to reach €6.341 million. We recorded a strong progression of our profitability with improvement with improving our region. Our operating margin reached 10.2% up 150 basis points year-on-year. Our net profit for H1 stands at 366 million, 26% higher than last year. The normalized EPS reached €2.52, an increase of 31%. Included for seasonality reason, we traditionally reported a negative free cash flow in the first semester of each year. For the first time since 2005, thanks to a good control of cash, I am happy to say, we deliver a positive €31 million organic free cash flow in H1, which represent an improvement by 170 million year-on-year. IGATE integration is going very well and in order synergy delivery is ahead of schedule. We are monitoring the process, we make with the 10 biggest at IGATE account. And on average these account grew high single digit in H1, which is very satisfactory. I now move to the geographical momentum and the market dynamics in our region, that you have some insight about geographic address. Overall the momentum is good. Demand and we improved our operating margin in each and every one for five regions including 180 basis point improvement in both North America and United Kingdom. In North America the constant currency gross is 36% notably sets to our great acquisition of course. We still had headwind from the emery and utility sector in H1 which added to a big contract termination induced by induced a temporary slowdown in the second quarter. Excluding the energy and utility sector our organic growth reaches 5% in H1. We are seeing a momentum in bookings and we forecasts an acceleration in H2 that will bring us back to mid-single digital organic growth by Q4. In the United Kingdom, we grew steadily in H1, in this country our activity is now split equally between public and private sector. For the latter our dynamic double digital organic growth in the case we are gaining market share they break it of course there is a lot of uncertainties at the macroeconomic level and we believe the situation can present both challenges and opportunities for IT services market. Since the vote we are monitoring very closely this market and make change on the regular basis with clients. In particular, in the financial services sector but clearly from our perspective we did not notice any meaningful change in trend so far. Continental Europe, we saw a significant acceleration in the second quarter. France is benefiting from an improving economic situation and has grown 4.8% year-on-year in H1 at constant currency. The rest of Europe is moving steadily we notably have a very good traction in North-Eastern Germany. The situation in the Netherlands that has been challenging in the last quarters has improved. So overall a very satisfying situation in this country for H2 in spite of the macroeconomic uncertainties living to product consequences, we consider we have a very solid pipeline with notably a significant number of fixed-price projects. And finally in Asia Pacific and Latin America we grew 10.3% at constant currency; impact is very dynamic with double-digit growth and double-digit margin. In LATAM we still face the challenging environment in Brazil even though the situation improved in the second quarter. If I look at the market dynamics regarding our growth driver we see positive dynamics in a very strong appetite for all innovative offers notably in digital and cloud. The overall demand is strong particularly in the financial services, in consumer product and retail and in telecom you saw that our gross in Europe is solid with strong appetite for our innovative offers and our activity in consulting and application services are fueled by arise in project demands. The traction is practically strong in Digital and Cloud. I told you, our activities in this field are growing 32%. These impressive figure reward our efforts to shape our activities towards the new business. Visitors is today at the core for consulting activities, 60% of the Cap Gemini consulting business is now linked to the digital transformation of our clients. We strengthen our Applied Innovation Exchange network that you visited in Munich. Key asset to engage our digital clients on digital by opening new facilities in Mumbai, in Toronto and in London in the last few months. This mobilization let numerous successes in digital for example, with the French leading car manufacturer and with top financial service organization. We also are being chosen by total to accompany them in their digital manufacturing transformation. We want beautiful deals with our cloud choice offer. For example, of the development of native cloud application for European aircraft manufacturer and several dealing to SAPS for and our deployment. In addition, we constantly invest to actively manage our portfolio of offers. We launched in May, a new offer focus on the digitalization of the production processes for all manufacturing clients. In addition, we just signed a new partnership with SAP on the development of solution for digital transformation in the manufacturing sector based on SAPS for and our Cloud platform. We are notably targeting the high-tech aerospace and defense, automotive and industrial machinery sector and we will combine our strengths in a common go-to-market. And we launch this a week ago. Our automation drives suite of automation service to accelerate growth and cost reduction. Finally our increase account-centric is issued by IGATE countries being of the growth of our top 55 clients is accretive to Group growth. Margin remain our obsession. I want to take a moment to detail further the driver for certain margin progression in H1 First, we continue to improve our offshore ratio from 48% in H1 2015 to 55% in H1 this year. In particular, we are making progress in continental Europe. We are improving by 4 points year-on-year up to 37% and there is still room for improvement in this region in the quarters to come. Out of the 185,000 employees more than 100,000 are working in global production center and this figure will continue to grow. In addition the IGATE cost synergies delivery is ahead of schedule thanks to a solid implementation of our integration plan this contributes to our margin progression in H1. We are also accelerating our industrialization roadmap. We grew on pushing on automation expanding initiative within the notably for testing and business services. We also optimize our resource supply chain the plan can processes throughout the roof and using artificial intelligent to match demand and supply. And finally we obviously see innovation as key for margin improvement by delivering higher added value to our clients, to expand our portfolio and accelerate on digital and cloud. We already invested 20 basis point out of the 30 basis point we had announced at the beginning of the overall delivers enabled us to improve gross margin by 140 basis point year-on-year in H1. And as a conclusion, first we deliver strong results in H1 confirming the steady acquisition of our strategic ambition. In terms of revenue we expect H2 organic growth to be similar to H1 which consolidates our full year guidance of 7.5 to 9.5 constant currency revenue growths. Thanks to our progression and industrialization, to the contribution, under innovations staking to the IGATE synergies, fast delivery. We are happy to upgrade by 20 basis points our guidance on operating margin up to a range of between 11.3 and 11.5%. Finally, we maintain our guidance on the organic free cash flow which is expected to exceed 850 million. We will achieve this objective by pursuing in H2 our continuous efforts on the priority we set for the year. Focus on our growth in our key businesses, digital cloud and business services, drive further our competitiveness and support our portfolio shift with the proactive balance strategy. I now hand over to Srikanth who will gives us more detail on our business.
Srikanth Iyengar: Thank you, Paul and good morning everyone. Let me first start with the sale momentum. As Paul said we've enjoyed a good performance in H1. Our bookings were €6.31 billion, 21% year-on-year increase over the same period last year. Bookings have been strong across most regions, however, we continue to see some softness in Latin America. This is the third straight quarter of 3 billion plus bookings and we expect to have a strong performance in Q3 as well. Normally Q3 is a slow quarter partly because of the holiday season in Europe but the pipeline is strong. And we expect decisions on over 3.5 billion of greater than 10 million TCVDs in Q3. The pipeline also includes over 1 million TCV on Digital and Cloud deals. As you probably know, these are typically shorter contracts than average for the company. Let me focus a bit on key wins in H1 2016. We've seen many key wins across geographies and also across industry verticals ranging from Europe base global aircraft manufacturer to a U.S. multinational agro chemical company. Many of these wins have been in our focus areas of Digital and Cloud underpinning our 32% growth in these areas in H1. We won against the wide range of competition including other leading global system integrators and also Indian pure players. Just to give you a flavor of the revenue growth across sectors. Financial services has performed very strongly with over 30% growth compared to the same period last year. We also saw a double-digit bookings growth in manufacturing CPRDT that's consumer products retail distribution and telecom and transportation - sorry - and telecom and media. The growth in telecom and media is encouraging. I have mentioned earlier, the energy and utility space have seen some softness in H1 but we expect to see less of a decline in H2, while public sector has seen positive growth. The share of public sector as the percentage of our overall revenues is reduced mainly because of the addition of IGATE t our portfolio. I now handover to Aiman.
Aiman Ezzat: Thank you. Good morning. So I will start with an overview of our results. So in H1 we have beyond expectation. The group revenues totaled €6.257 billion up 11.6% and 14.4% at constant currency rates. Organic group growth reached 3.3%. The main difference come from 11.1 points from the integration of acquisition primarily IGATE and minus 2.8 points from currency fluctuations, primarily the Pound sterling and the Brazilian real. Our operating margins stand at €638 million or 10.2% of revenues, 31% and1150 bps above last year. This improvement is driven of course by the IGATE integration, the operational improvement and the better portfolio mix. It includes as Paul mentioned, minus 20 bps from additional investment in innovation out of the 30 bps budgeted and we still expect for the full-year impact of this investment in innovation to be 30 bps. I will comment later on the other operating income and expenses. The operating profit rose to €510 million, up 14% versus the first half of 2015. The net financial expense is €62 million so up €21 million mainly due to the quarterly IGATE acquisition finance. The income tax expense is €87 million so down €40 million year-on-year notably due to the recognition of a deferred tax asset of €32 million. As a result, the net profit group share rises 26% to €366 million. Organic free cash flow stands at 31 million so going to organic free cash flow generation the €31 million represent an increase of 170 million versus 2015. We continue to focus on improving our cash flow generation and reducing our businesses outstanding and as Paul mentioned first time that we have a positive free cash flow in the first half in more than 10 years. Now, going to growth the Q2 organic growth rate was 3.8% up to 2.9 in Q1 leading to the H1 organic growth of 3.3%. The currency impact as you can see was higher in Q2 at minus 3.7 points. Bringing the H1 impact to minus 2.8 this is above our full year guidance that base on our simulation we still expect the full year FX impact to be around 2% on the top line. Constant currency growth came in at 15% in Q2 leading to H1 growth of 14.4%. We are on track to deliver our full year guidance of 7.5% to 9.5% constant currency growth, now looking by geography North America report including the integration of IGATE, revenue growth at constant exchange rate of 36.2% year-on-year, driven by financial services, consumer products and distribution and manufacturing sectors. North America organic growths reach the low point for the year primarily due to the weakness of the energy and utility sector. As Paul, mentioned we expect to be back to mid-single digit organic growth by Q4. United Kingdom and Ireland reported revenue growth of 8.6% at constant exchange rates. Here again, we had some impact of course, from the integration of IGATE. Local momentum was boosted by contract wins notably in the private sector, which now represents more than half of our revenue and continue to grow at double-digit organically, while the public sector is down as anticipated. The first half is also marked by the three year extension of our largest UK government relationship. In France, the first half we achieved 4.8% increase in revenues, fueled by strong traction in application services, future growth was impressive at 7.7% with double-digit growth notably in financial services and consumer products, retail and distribution sectors. In the rest of Europe region, which as know now includes Benelux and represents 26% of Group revenues reported a growth of 6.9% at constant exchange rates, here we have almost no impact from IGATE and with all geographies and sectors contributing to this result. Due to so an acceleration with all regions in positive territory including Benelux and Iberia. Growth was double-digit in Nordic and German in Q2. The Asia-Pacific and Latin America region reported a growth of 10.3% at constant exchange rates. Growth remains very dynamic in Asia-Pacific, driven by the financial services and again consumer products and distribution. The economic environment remains weak in Europe and even if the growth was the decline is declared in Q2, it also start to have a very committed impact on the group revenue overall. Brazil but the negative impact on Group growth is reducing. The operating margin, traditionally low in the first half of the year in this region, increased 60 basis points to 3.8% of revenues In summary, business activity was sustaining Asia-Pacific continued to accelerate in continental Europe and UK private sector. North America continued to be impacted by Energy and Utility tax rate in H2 and Latin America, we continue to be impacted by the environment in Brazil. And if I move by business, consulting services is reaping the benefit of its repositioning on digital transformation, reporting an increase in revenues of 8.1% at constant exchange rate with strong growth notably in the UK. Technology and Engineering services 15% of group revenue, which previously was known as Local Professional Services reported revenue growth of 13.1% and constant exchange rates in the first six months. Growth was driven, beyond the IGATE contribution, by North America and Rest of Europe regions. Application services which 60% of group revenues is our modest business reported an increase of 17.2% at constant exchange rate for the first half beyond the contribution of IGATE growth was mainly driven by an acceleration in Europe and of course our digital portfolio. Other managed services reported 9.3% growth at constant exchange rates thanks to the impact of IGATE and in spite of an unexpected drop in activities in the UK. Going to head count, it progressed by 2.4% in the first half driven once again by offshore growth were onshore headcounts are flat. Now onshore we see growth driven by digital in headcounts notably in U.K., Germany and Sweden, compensated by the significant decrease in our Brazilian operation. Overall, we ended the first-half is 185,000 employees is over a 100,000 into global delivery centers, - centers recruited over 24,000 employees in the first-half which two third in the global delivery centers and our attrition continues to improve now at 17.8% is reaching the very good targets. The offshore leverage stand at 55% which as Paul mentioned increased penetration in continental Europe we know over 60% in Germany and Sweden and we have reached the mark of 30% in France at 31%. We are still very low in Italy and Spain even its progressing a little bit compared to last year. Remuneration costs show a significant decrease year-on-year up 11% at currency rates due to the integration of IGATE. Slight increase of 0.1% at constant rates and parameters, salary increases are similar to previous years in India but we see some acceleration onshore driven by innovation portfolio notably in digital which also comment higher billing rates. Excluding IGATE impact the average remuneration decrease by 2.4% at current rates. Now on the operating margin first by geography, as anticipated we have the accretion from the IGATE integration as well as the margin improvement driven by industrialization and innovation. Notably the growth of digital and cloud in the portfolio. North America margin improved by 180 basis points to 15.1% which is a same progression in the U.K. at 14.5%.These are the two regions which have been the most impacted by the IGATE integration of course. France improved by 40 basis points to 6.6% with seasonality of the margin still leading to below margin in H1 in France. The rest of Europe improve by 110 basis points with strong progression in Germany and also a good improvement in Benelux. Spain -Spanish situation continues to improve trending toward its single digit operating margin. Finally, in APAC and LATAM, APAC margin continues to improve, while we have a loss in Latin America, each one profitability also tend to be impacted by the high seasonality of the margin in Brazilian operation. Now, looking by business, consulting operating margin continues to recover with the progression of 2.3 points. Technology and Engineering services for the largest progression with 2.6 points due to an improving business in Europe. Growth of the innovation portfolio notably in Cybersecurity and Cloud and also the integration of IGATE. Application services, which is our largest business continues to progress driven by the digital project portfolio and benefit from the IGATE integration, which is to an improvement of 1.4 point. Other managed services including Infra Business services and Transactional services progressed by 1 point after the 1.7 we achieved in 2014. So overall, the strong margin progression in all businesses due to operational improvement better business makes and the integration of IGATE. Now if you look by destination, one of the most important impact is of course, on the gross margin. The gross margin has improved by 1.4 point which again report our innovation and industrialization strategy and this is going to be the main driver for us to be able to get to our mid-term margin target of 12.5% to 13%. Selling expenses are stable at 8.4%, in spite of the increase of the project business in the sales mix as you know. Selling expenses on project tend to be higher, so the fact that we continue to maintain stability in spite of the increase of the project business shows a continuous increase in our selling efficiency. Finally, G&A show an improvement of 20 basis point. Now, going to financial expenses, interest on the bonds amount to €45 million and increase of 27 compared to H1 last year that's mainly driven by the financing of IGATE. The other interest and income expenses decreased by 10 million primarily due to the dollar euro swap on the IGATE related debt which was about 8 million. Finally, other financial expenses are 16 million lower and that's the main difference comes from the fact that last year, we have the IGATE-related bridge financing. So overall, financial expenses are already closed and expected to be now forecast less than 440 for the full year. Taxes are lower than 2015 as I mentioned by 40 million bringing the effective tax rate for the first half to 19.4% and as I mentioned before this is due primarily to 32 million one off GTA recognition but also some benefits which come from the transition to special economic zones in industry. Now going to the net profit analysis, going to the recap from the P&L from operating margin for net income the items recognize in other income and expenses are now up to 128 million so that's the big increase compared to 39 million of last year. The increase comes from first an increase in amortization of intangible assets of 26 million and that's linked to the IGATE of course goodwill. An acquisition and integration cost increase of 29 million again primarily related to IGATE so all the cost leading to the IGATE integration, legal and legal entities and others but also accounting for some nice and recent acquisition. We now expect the full year to be around 60 million to account for this announce link to some of the recent acquisition that we have to accrue for. The recognition in 2015 offer one time exceptional gain on UK pensions which was plus 35 billion which is of course we don't have this year so that explained the main differences between these two now. Now the restructuring charges that remained under control at 31 million and for the full-year will remain within our annual target of 80 million increases by up to 20 million as we are mentioned for the IGATE integration for the first two years. The operating profit was the 14% progression to 510 million after financial expenses and tax. The net profit group share increases to 366 million increases and which is increase of the average number of shares linked to the capital increase, linked to the IGATE acquisition last year. The normalized earnings per share increases by 31%, €2.52 per share. Now finishing on priorities, we continue to execute on our strategy on industrialization and innovation very successfully integrating IGATE. We are on track to deliver on some of 2016 priorities first on the IGATE integration synergies based on H1 achievement. We remain on track with margin progression to deliver our midterm operating margin of 12.5 to 13%. We continue to maintain cash disciplined and improve our organic free cash flow generation and we continue to actively manage our dilution, our total return shareholders this one was 394 million, 165 million of buyback and 229 million of dividend. On the outlook, now again, we expect European impact remain strong North America as we get back to mid-single-digit organic revenue growth by Q4 in Latin America to stabilize. Before starting to recover in 2017, of course, we remain under watch for the early sign of potentially impacts from Brexit. As Paul stated, we raised our margin guidance to 11.5 to 11.3 to 11.5% while maintaining organic free cash flow and revenue guidance and we still expect to head win of minus 2% from FX on our constant currency growth.
Paul Hermelin: Thank you, Aiman. Operator, can we now move to questions.
Operator: [Operator Instructions] We have a first question from Laurent Daure from Kepler Cheuvreux. Sir, please go ahead.
Laurent Daure: Yeah. Thank you. Good morning, gentlemen and congrats for - for the strong first half. Three questions, as usual. The first is, I like to come back on the margins seasonality because I remember during the first half you commented on our weaker seasonality because you are more U.S. business now but when I look at your guidance for the year. It seems like you still have the traditional seasonality margin GAAP between that [indiscernible] if you could comment more no that. The second question and probably the most important one is about the U.K., the U.S -sorry - seems like here the second quarter was on the negative - negative organic territories. So how do we make the reach going into 5% organic growth in Q4 given that the contract that you draft in Q2 would probably have 12 months impact. So I know the energy sector is - on the platform slightly better but it will be really helpful to understand, if you had a contract win to close the gap to get to 5%. And finally, your housekeeping question is on the tax rate for the year, I mean, the first half was lower with activation of taxes. So - to start we take something lower than the usual 30% for the year. Thank you.
Aiman Ezzat: Okay. On the seasonality of the margin, Laurent. The seasonality as you - because if you do 10.2% in H1 and we got you to 11.3 to 11.5, we have seasonality that is still decreasing a little bit, okay. Overall and I think some of it as well is into the fact that we have quite strong progression in Europe for example, which tend to hire have high seasonality but overall, we have that seasonality. I mean we looked at the numbers depending of which you look at. We are the low wind of what we consider as being seasonality for the full year, right? So it will still continue as long as we have the swing, on the gap to 5%. Okay. Now the weight of the energy and utility sector was 17% to 18%. Okay. And we have more than 30% decline I think even close to 40% decline in that sector in Q2. We expect that to completely pay by the end of the year. So the neutralization of the impact of the energy sector is when it be because as you can see if you - if you take out the energy and utility sector we are still at 5% organic growth in the first half which is decent, of course always slightly to be a faster but this is kind of within our target so our main issue remained there even if we have the congruence of also some other negative news on - on the stoppage of the larger product we had last year that we don't have this year. That's - but for me and to be frank as you imagine we have done the number of reviews on North American operation to October we will give you the guidance. We are quite confident in terms of getting back to our mid-single digit target with organically by the end of the year. On the pacific...
Laurent Daure: Sorry, Aiman can you comment also the bookings for the U.S. during the first-half, if you saw some good momentum?
Aiman Ezzat: Srikanth, you want to go and pick up that?
Srikanth Iyengar: Yeah. So in the U.S. first half bookings will good. We don't see any worry like I said overall U.S. bookings are all right. We saw some softness that you see but other than that we don't track.
Aiman Ezzat: And the Q3 pipeline maybe.
Srikanth Iyengar: And the Q3 pipeline overall like I said we have 3.5 billion of 10 million plus deal the across the company of which significant portion is also the U.S. so no concerns on pipeline in the U.S.
Aiman Ezzat: And finally, on the tax rate at this stage the only thing I was do it is to take adjustment of 32 million that we expect to see again in the full year. That's the main impact I don't have any other impact. We think to have starts to have something positive impact from the special economic zone but this is not significant enough to see we are able to overall mid-term margin tax rate we significantly achieve.
Laurent Daure: Okay, great. Thank you the gentlemen.
Operator: We have a question from [indiscernible] Exane BNP Paribas. Sir, please go ahead.
Unidentified Analyst: Yes. Good morning, gentlemen and thanks for taking my questions. I have three. The first one is if you could clarify, if you still expect an acceleration of top line in H2 at corporate level on the basis of the - you now take in Q2? The second question is to come back in North America but for different angle if you could elaborate maybe on how you benefit from the IGATE acquisition both in term of lead go-to-market and margin as well. And the third one is, is more global question that now the IGATE acquisition is more advance. So I would like to see your priority in terms of capital allocation between more opportunity M&A in term of digital especially or repayment of the bone that I think mature in November. How do you see the, the skill acquisition in digital more globally. Thanks.
Paul Hermelin: So on H2, frankly given the Brexit potential plus sequences, we have based the main 20 in our guidance on stability to say, it’s not - there could be some acceleration but we are prudent and we wanted to show you that our progression that linked revision of the guidance is not assuming any acceleration. We are ready for stability but we do not see to the - it would be some delays of project in - so in Europe. So today we think to save the stability needs to - there could be better situation but we don't want to bet on that. [indiscernible] the IGATE impact maybe speak out.
Unidentified Analyst: Sure. So, clearly we've benefited from the IGATE acquisition. Paul mentioned two things earlier, if you take that top 50 account across the company. They have been accretive to company growth and that's because of the account center city that we've brought a lot of which, which has come from IGATE and even if you look specifically, they tend to get IGATE clients, these have grown at high single digits in H1, so that also reset the fact that IGATE has been good for us from go-to-market and momentum perspective.
Paul Hermelin: Sure. And on the margin, you have [indiscernible] of the margin, we see that IGATE would expect about 90 bips on H1 and 45 product that's pretty much. Last portion of which will be accretive to North America. And last question on Capital allocation. The first point is, we have said, new sizeable, new significant acquisition until either bulk of the integration behind us. The bulk of the integration will be completed by year end notably with the finalization of the legal entity merger and the alignment on single - single system overall. So we could this being said, for the time being we are little prudent because of the market volatilities and uncertainty. So at the moment we are focus on what I would - what we used to call the string of logic, so if you birds in digital and cloud. So all segments and small addition, we will review looking at potentially larger target when we think the situation will have settled. Financial one I mean - financial market.
Unidentified Analyst: Thank you very much.
Paul Hermelin: Any other question?
Operator: We have a question from Charles Brennan from Credit Suisse. Sir, please go ahead.
Charles Brennan: Great. Thanks so much. Just a couple of questions from me, the first is just in the second quarter Aiman can you quantify the benefit that you saw from the extra trading days in the quarter? And then secondly, just following up with some of your aspects of the guidance, the second half cash flow in 2015 was very, very strong, if you do something similar this year you should be on track to - to comfortably beat the 850 million guidance are there any one off factors that we need to bear in mind or should we feel that as a conservative target. Thank you.
Paul Hermelin: Okay. So trading days of the positive frankly it’s difficult there is definitely some positives in countries like France where we have more billing days but as you know it’s when we applies to the G&M business does not apply to the overall business and when you have some fixed price project to others and to be frank it doesn't impact your estimate to complete extra plus. So we will minimal impact so it is positive but it's difficult to size we tried it is to be frank it's a based on the different mixes on the on the different countries it's very difficult. But I cannot deny the fact that the 7.7% constant currency growth in France, in Q2 there is a number of these impact and we cannot expect that this is a normal growth rate. But so - but I think the there is definitely an acceleration and like to 4.8%. Seen H1 is more a bit that trend that we would expect. On the free cash flow do not forget that we benefited somewhat of course from the IGATE integration in H1 because it generates cash flow and the fact that we paying the interests in July. Because the debt was described on the 1st of July so excluding this fear just through FRR note which is basically paid quarterly all the rest of the debt it paid annually or the interest on the lot of the IGATE debt will come - will come into July. And finally, we expect as well that we continue to pay higher taxes than before. So we do also main impact. As we said, its above 850, we will try to make as much as possible as, you know, but better but we don't have enough substance to be able to raise a guidance at this stage.
Charles Brennan: All right. Thank you.
Paul Hermelin: Charles. Next?
Operator: The next question is from John King from Bank of America Merrill Lynch. Sir, please go ahead.
John King: Great. Thanks for taking the questions. I've also got three. Sorry to come back on the growth rate, the second half but could you just talk to perhaps what your organic growth assumption would have been - what were you thinking about the second half before the Brexit announced. I am just trying to understand, what your, you know might be modelling there with the contingency. Maybe the second question is, is essentially doing into that a bit further. I guess if you are flagging that the energy utility sector, which was a pretty big head wind in Q2 particularly, begins to lessen. What are you thinking makes slow to offset that as a European financial services, I think one or two your [indiscernible] potential weak spot. And then the last question, was on the Digital and Cloud growth again, a pretty good number there. Could you just talk to where that's coming from how much of that is now at North America and what kind of verticals you're seeing there and just to understand how much further there is to go in that acceleration. Thanks.
Paul Hermelin: So on the first one, which is a growth rate. I mean, we slightly look at our focus, we see small acceleration that is but not enough to say that we're going to really accelerate in these two. I mean what we have as you can understand is a caution regarding some of discretionary spending in the U.K. and some potential macro impact that where we could have some European client especially in Q4 putting certain things on hold. It’s difficult to really anticipate in detail but I would say, you could say that if we didn't have that, we could have expected 50 to 100 basis points of acceleration on our growth in each two but it is difficult to really size at this stage because we have to present this on what people start to anticipate including coming from the Brexit. On what is impacting as a growth when you say, is asking to impacting growth negatively when we still see - we still have forecast of declining energy and utilities including in Q3 in North America. So which is not finished story from that perspective but the balance will be - the impact will be less and the balance will - get back to effective growth in Q3 and then the mid-single digit in Q4. In Europe, I will say we had sustained growth rate now for several quarter in countries like Germany or potentially in some areas in Nordic. We believe it might they start to not slowdown a little bit compared to what we had. But now Germany we have well above to double-digit growth rate in Q2 again we don't think it will steadily start to be some base impact but overall still stronger - strong sustainability.
Aiman Ezzat: If you remember 2015, we had a media for European H1 and a better H2. So the comps are more demanding in Europe but there is still a good momentum notably Germany, Nordic, you asked about the digital impact, the big difference in digital is - are consulting is far stronger in Europe and in U.S. in the U.S. it's small so that's a conserve to push on digital in the U.S. it’s why we the board probably like but that's not enough. So to be frankly, when I said that 60% of consulting is embedded in digital activities that's the very strong engine for digital in Europe so around digital customer experience of about digital manufacturing and we are really doing extremely greatly in Germany, in France and even in Northern Europe little less in Holland. So, a good momentum frankly on in Europe, in the U.S. in the absence of we didn't buy as you know any digital marketing and CC being small. We are better in what we call seamless cover that is more the trading of ecommerce behind the new channel. So we are better the focus on B2B clients and we are very successfully digital transformation of B2B clients. We are very strong in cloud migration. We recorded some large winds and we are good in financial services digital front-end to. But we miss a little bit these defies part of CPRD in the absence of marketing skill so more B2B and B2C which is probably why the digital momentum is strong in Europe notably because of CC than in the US.
Paul Hermelin: And main consequently consumer can you can imagine it I am looking at acquisition to bridge some gaps.
John King: Got it. Thank you.
Operator: The next question come is from Michael Briest from UBS. Sir, please go ahead.
Michael Briest: Thanks. Good morning. Just a point of clarification first I mean when you talking about the second half growth rates will you saying there will be similar to Q2 is rate of 3.8 or H1 is rate of 3.3? And just in terms of financial services it's a global industry to be extent the Brexit affects a lot of our continental and U.S. domiciled bank. So are you seeing any change in the operations or demand from the those banks outside of the U.K. and then just on buybacks, will there be any more in the second half and on pension was there any change in the liability there. Particularly I am thinking Sterling has weakened, so the liabilities maybe gone down. Thanks.
Aiman Ezzat: So on growth rate frankly, no - today we count on 3.3. So it is H1 organic. On FX, I talked repeatedly with Jerry. He had a very strong H1 account on let’s say, something a little more than what we call mid-single digit. So it's closer to high single digit but we - we could see maybe a little less [indiscernible] in H2 than in H1. H1 was particularly strong. So I would expect from FX growth between 7% and 8% but not the 9 to 10 that we enjoyed in H1. Your last question was on pension question.
Michael Briest: Question on buyback.
Aiman Ezzat: To be frank, as we see we have this 600 million buybacks over several years. We have achieved 150 out of the 600 mandate so far. We might do some better, to be frank we know - we will not comment with the timing of whether we will do more buybacks at this stage. On the pension yes, definitely there was a new [indiscernible] to the increase of the - to the decrease of the - this country both in the U.K. and Canada and the impact 300 - net impact was €354 million of increase in the net pension liabilities.
Paul Hermelin: The question is can the balance will be back - in the future, I mean it impacted the liability based on exchange rate but I think the biggest impact, we had - we had the positive impact because the pound has depreciated but we had to - impact by the reduction of the discount rate.
Michael Briest: Okay. Understood. Thanks.
Operator: The next question is from Stacy Pollard from J.P. Morgan. Please go ahead.
Stacy Pollard: Thank you. Just on the pricing environment and the competition any after pressures from the Indian heritage companies coming into Europe and then second question, what would be your midterm target margin in France, any structural reason. It could not eventually get to double-digit?
Paul Hermelin: Okay. See, just from on the first one, you see Europe, I don't think it’s specific to Europe. So we don't feel Indian pressure in Europe. Overall I think the Indians are trying to push more on the price to be also the vary volume growth. We have boost on to see a more number of price pressures on deposit bill from the Indian pure players but it's not to Europe. So actually our exposure to Indian playing - sorry we have somebody around okay thank you and then the second question was on the - our dealing in France. Frankly ...
Stacy Pollard: A microphone. I had no holiday this year the US.
Paul Hermelin: I am sorry can you repeat the question if you clearly referring because it's not clear mute the microphone? Operator can you mute the microphone?
Operator: Yes I am muting the line of this.
Paul Hermelin: You're welcome, operator. Okay. Thank you. And then the French margin first we will improve it. There is a biggest seasonality are in France you will see as you remember we expect the strong improvement in the second half. But we should overall the improve the margin in France reaching or biting double digit less easy than some other country because of the smaller use of offshore in India and just say we I think we reaching our 30% of ....
Aiman Ezzat: 31%.
Paul Hermelin: 31% of offshore in France that includes Morocco and Morocco and India of course so that's better but where we are in the range of 60% in Germany, 80% in the commercial market, in the U.K., 73 in the U.S. we are flagging far behind so that will be a drag of the French margin but certainly I am notably have started some special program to increase the French margin.
Aiman Ezzat: Okay.
Paul Hermelin: Operator?
Operator: The next question is from Neil Steer from Redburn. Sir, please go ahead.
Neil Steer: Good morning. Thanks very much. Just quick question on Brazil you mentioned during the presentation that you against to take some actions there can you just give us a feel for the overall size of the headcounts there now and the magnitude when you actions your taking I think you suggested that you are hoping that it would stabilize in the second half, but presumably you are taking actions because you don't have a high degree of confidence in that?
Paul Hermelin: Just some clarification on Brazil just to give you rough numbers. We have about 6,500 people in Brazil and that was a decrease of bit more than 500 in the - in Q2 in the first half. So we definitely did bring the head count down quite a bit in Brazil. More of the actions had been taken we have some similar, some more action potentially to take but just to understand that retrenchment cost are quite low in Brazil. So it’s not really, it's not nothing material from that perspective and we can adjust capacity easily. We definitely start to see some stabilization, we already started to see in Q2 some stabilization and for me the most important aspect which is quite positive is that our operating cash flow before financial expenses or exceptional items was almost at breakeven in H1 which for me is a very positive sign of operational stability. So we get in back to operational stability in Brazil. We believe we have taken the right actions at this age to be able to start getting in a better position in the second half that's especially into 2017.
Neil Steer: Okay. Thanks so much.
Operator: The next question is from Alex Tout from Deutsche Bank. Sir, please go ahead.
Alexander Tout: Good morning, guys. Thanks for taking the question. Aiman, I think you mentioned a margin benefit from IGATE of 90 bps in the first half and 45 for FY'16. Could you just clarify whether that's including the synergy benefits or excluding the synergy benefits. Second question there was on slide 20 a big between the remuneration benefit on a current basis and a constant basis. Could you quantify perhaps in basis points what you expect the margin benefit to be from FX in FY'16 and then just lastly you've talked about 30 bps of investment in 2016 due you expect this kind of, investment to continue into FY'17 or is that something of a one-off. Thank you.
Paul Hermelin: Okay. So a lot of question. The 90 bps in fact is excluding synergies because it's a mechanical impact. If you remember when we did the guidance, which is 40 to 45 bps coming from the IGATE mechanical integration and that was before synergies, of course, contributing to that and contributed to the increase of the guidance was the synergies. But as you had wins, if you remember was also such a bps of, of investment in innovation built in to the guidance. The impact of the rupee depreciation, which I think what you are referring to remember that you also have the starter increases in India that basically go against the rupee depreciation. So I would not say that there is a specific impact coming from that, what we say that we are able to absorb usually all the deprecation all the salary increases, notably because of the depreciation we try to do better to increase our competitiveness. But it's not linked to the FX impact. And finally on the 30 bps I do believe that this is not a just a onetime thing for to show it, it’s something we have to continue to do to be able to continue to accelerate as long as we see new trends of innovation in the market we consider that we should be a bit ahead of the curve and to be able to accelerate and not wait for all projects to come up stand basically doing it. I mean part of what we are going to do for example here on this 30 bps is support our new offering that we launch from digital manufacturing or automation drive both require in order to central funding to be able to kick them off the ground and to start building some of the important capabilities to make this successful. So that's one way to continue to basically fuel better organic growth.
Alexander Tout: Thanks. Do you expect you can maybe hit the low end of the mid-term target of 5% to 7% organic growth perhaps from next year?
Paul Hermelin: I think it's a bit early. Especially if you as long as we don't know what will happen with the budget impact unless you have a crystal ball or for me I don't know yes for next year Alex but definitely - I consider we are on track, can we do it next year it will depend on bit on the - on the macro which will have some impact here.
Alexander Tout: Thanks, Guys.
Paul Hermelin: Thank you.
Operator: The next question is from Deepshikha Agarwal from Goldman - from Goldman Sachs. Madam, please go ahead.
Mohammed Moawalla: Yes hi, it's actually Mohammed Moawalla.
Paul Hermelin: Mohammed, how are you?
Mohammed Moawalla: Can you talk a bit through some of the impact of the Brexit you talked about the risk but also some of the opportunities. I wonder if you could sort of pursue that in a bit more detail in terms of what your kind of an initial assessment are.
Paul Hermelin: So Paul speaking. We have what we call country ball that gather all of you know in the U.K. So I share the U.K. country ball. First so far the on the country they might be a social change for us compared to the previous policy of the conservative party. So there might be opportunities in the public sector notably with some welfare administration where we are well-positioned that could be had opportunities. The second point we look at the slightly an exposed that much and to be frankly that's more than insurance and retail notably retails, somewhat consumer product that maybe retail. We have a special attention on that the sizeable part as you know and I just mentioned it 80% of our leverage, we have reached 80% in the commercial market in the U.K. So we have a rather flexible production system, if we have to adapt to when we slowdown in the commercial market. But they were quite optimistic on some public spending and our ability to take advantage of that. And just on the because you are asking also some of the - the impact - and in fact on the financial sector, we are very well position. We might have some cuts and some discretionary spending in the short term but for us it's always as we play on both the growth on digital but also the cost reduction. We might also lead to some accelerated cost reduction which tends to benefit our sales work. Same on these are larger retrenchment in the financial services company not necessarily negative to us. It tends to be at some this capacity moving to us. So Q4 we might have some discretionary spending reduction potentially in some U.K. but it might end up in next year in bigger plants in terms of accelerated and which might benefit us. So that's why - somewhat negative or quite positive.
Mohammed Moawalla: Okay. Great. Thank you.
Operator: The next question is from [indiscernible] from Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi. Thanks a lot for taking the question. Just one maybe bit bigger picture one, on the SAP partnership around the digital transformation solutions for manufacturing. Could you talk a little bit about exactly what it is that you're doing there. What type of applications or manufacturing software, you're integrating within that platform. What data set, so you are consolidating and maybe some of the pain points that you're trying to solve with this partnership on the side of the customer. Thank you.
Paul Hermelin: Today looking at what we have lowest or digital manufacturing and what they have in mind in terms of the supply chain and the adaptation with sensors to five digital move. SAP has agreed that we are the most advance and they have selected with SAP level two to the exclusive but we will be the priority partner to work on digital operation and connect SAP with IOT and a lot of sensors. So it's an extension of what we started with G but it's - position the group really as a leader in digital manufacturing transformation and we have targeted a few vertical segments.
Unidentified Analyst: Great. Thank you.
Paul Hermelin: Thank you.
Operator: The next question is from George Kertsos from Berenberg. Sir, please go ahead.
George Kertsos: Yes. Hi thanks for taking my questions. I guess my questions have been partly answered but I wanted to just sort of come back to the prudent H2 top line organic growth or definitely about on Brexit. So based on the visibility that you have now do you see your previous 5% to 7% top line medium-term organic revenue growth target at risk?
Paul Hermelin: You know I have absolutely not. I mean to be frankly as you said when we put that target it was in 2014 we said midterms of four to five years up 2018, 2019 we don't see anything we would like to get there before 2018-2019 but we don't see any change overall on this I mean you might have at some moment some macro impact like the Brexit that basically could have some impact but this is temporarily from our perspective for one or two quarters. Right now as usual but this is always been our chances to be prudent when we have some potential changes and have some impact. Today the forecast are bit better than H1but it’s still a bit too early to be able to say that we are going to have reading acceleration in H2. So same that we took when we - when we announced the full year results when this volatility in the market and some uncertainty - some uncertainties written to be prudent but they can visit but they can tell you that our guidance is Brexit for and basically whatever happens we are going to hit our guidance both in terms of top line and increase in guidance in terms of margin and our free cash flow. But our stunt is not to be bullish when we consider there is some uncertainty in the market that could impact us.
George Kertsos: Very clear. Thank you very much.
Paul Hermelin: I think we are running out of time so to just to close at this stage. Frankly, I was quite pleased with H1. I really think the cost discipline is there and we have certainly provided us enough rule to reach our new guidance of margin. I was happy with Europe. I understand that today everybody is an improved our digital Europe but we have a very strong momentum. We had an isolated deep in the U.S. We have addressed and comes will be less demanding in H2 and I think we will recover. So overall very strong progression of the group, very good performance in the integration of IGATE and of course we will meet you through the road show and different conference and our next meeting will be Q3 results which will be in November I think. Thank you everybody.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.